Sébastien Bazin: Good morning. It's 8:30. I don't even know the date of today, but we do announce the year-end account for 2021. Jean-Jacques is next to me, which is not a surprise. So we're going to go, not rather too quickly, but we're going to be spending our time on sharing the results for 2021, sharing some sentiments for 2022. And, of course, we're going to leave some place for the Q&A. So when it comes to – and I'm happy that, I guess, you joining us on the call, and I'm, of course, sad that, I guess, we cannot again do this physically because I do miss many of you. So, on the – on where we sit and what we feel? The first one is extraordinarily important because it is the underlying this is the base of our industry. Travel desire has never been stronger. That's the way it is today. You've seen it. We have noticed it since probably April of 2021. People wants to travel, people are eager to actually probably spend more for a better experience.  So, our industry is still blessed and will be still blessed for a numbers of years. Planet is a must. Many of the travelers, many, if not, all of my different employees, wherever they sit in the headquarters or at the hotel level, true consciousness on preserving the planet on acting responsibly, on contributing rather than compensating. It's a must. We've been doing it for the last 25 years. We are extremely proud of all the things we've done for the last 25 years, we're just encouraged to do much more and to give examples to many of you. Live and work from anywhere. This is probably the new norm since COVID.  Clearly, there is a true capacity and efficiency for people to work remotely, which has direct consequences for hospitality business. We have more and more workations, i.e., people leaving on a Thursday night, going for four days, wherever they choose and ability to work extremely efficiently and easily on that Friday, on that Monday and coming back on Monday night or Tuesday morning. So it does increased by one or two nights, the weekend. And therefore, people are staying in different hotels, probably fairly close to where they are usually less than four hours trip from the domicile. New booking patterns pleasure, it's a lot of people are now looking for probably a lesser number of trip, but for longer-trip probably a couple days more than pre-COVID. And clearly as I've talked to you on live and work, mixing very happily, so leisure and business. Rise of premium leisure experiences, you have many more people looking for secluded natural destinations away from everybody else discovering whether it is a culture, discovering astronomy, discovering other remote places and probably and surely paying more for those experiences. So there price effect here, and there's also for us to reconsider probably destination we haven't spent enough. And clearly it's a land of opportunity for us on basically catering for those customers. And reinventing global events that's a big endeavor. We've seen lesser numbers of global groups events more than 500 people has been very difficult to organize for reasons you understand. But we've seen many different large companies doing 10 different cities, groups of 50 people for the same organization, as opposed to gathering everybody together in one large city. You see a lot of hybrid meetings of people mixing together, physical meeting with 1,500 people and having different satellite offices connected through digital to the same event.  So it's another way of thinking. We have to be prepared to have the flexibility, but it's a very encouraging, people need to be bonding together. They need to paddle together. So we have seen the last six months and you're going to see even more in the next six months of many, many different groups being together either hybrid or physically, which is a great product and a great offer for us. Great demand, sorry for us for the next months ahead.  That one is, we made it easy for you and for me, and I'm going to go rather quickly – rather slowly, sorry. It's go first with the bottom of the page. The bottom of the page gives you an indication you probably know about, which is very important. 20% of Accor revenues for the last few years has been on international business travelers. On that 20% you've seen and let's start with the light blue color, which is 2022, which is the 10 months ahead of us. Unfortunately, the way Oxford sees it, which is shared by many of the STR, MKG of the world. It's still probably close enough to minus 50% compared to 2019. And I hope it's going to be better than this, but I – and it's going to take probably another three years to get back to 2019, you see the green for 2024, still below 20% of the 2019 pre-pandemic.  And that could probably last forever because of our capacity via Zoom, Webex teams to be able to connect yourself without going onto a very long journey. On the right, you have 40% of Accor is domestic business travelers. That one is certainly more encouraging. That is narrow body airliners. It is less than four-hours ride and less than two nights stay. So far less cumbersome in terms of pricing and in terms of fatigue. And you see the light blue so much better than international business travelers, it’s probably a minus of 10% minus 15%, but we could be happily surprised of that rebound being quicker and you see very clearly that 2023 will be above 2019 on that less than four hours domestic business. Then you go to the right side of the Slide, 40% of Accor is leisure dependent and there's two things here. On the international front, no surprise because of the agony of crossing frontiers with all the paperwork you still have to do, probably it's going to be far less cumbersome in weeks ahead because of Omnicon being hopefully behind us, but still the light blue for international leisure is still probably 25% to 30% down compared to 2019, but very quick rebound in 2023, 2024. And there, again, I believe for Accor 2023 will be back to pre-2019 levels. So I'm certainly more optimistic that that slide is showing.  But let's go to the far right, which is a domestic leisure and here for almost a certainty. And we've seen it for the last three months of 2021, 2022 will be better than 2021 than 2019. And here it is 7% or 8% probably going to be better than the 7%, 8%. So a very clear light of sight on earth rebounding on that domestic leisure, which is again, less than four hours and people discovering their own country. And we have fascinating countries for people to visit. On the business highlight for 2021, we of course done a lot of things for the last 12 months and Jean-Jacques will talk to you on all the great things we have on financial discipline rigor, drop through and many other different items. Those are not financial in nature under rebound. I just mentioned it. So I'm not going to go back to it. We have a strong rebound and pent-up demand for traveler, which is why pricing in December of last year, only three more months ago were already better than the pricing of 2019 across our core networks. So clearly encouraging. You may not have the occupancy, but you can have pricing advantage in the next weeks, months and years ahead. The appetite for new experiences I touched upon it, we have to be thinking out of the box. We have to go deeper and augmented hospitality. We have to go deeper on local community, on food and beverage, on wellness, on many of the things that people are desired to discover.  Signed opportunities, two major events ahead of us for the next two years, Accor has signed a very strong partnership on booking for the World Cup Rugby World Cup to be held in France 2023. And of course Accor has signed also a very big partnership for the Paris Olympic in 2024, where we're going to be helping on many hospitality features and being the preferred hospitality partner. And signed as well, a lot of partnership for Accor Live Limitless, whether it is SIXT car company, car rental company, Qantas. And many of the things we have done actually a couple days ago with CIMB in Abu Dhabi on a co-branded card. Consolidated brand powerhouse, Ennismore, took us a lot of time to assemble the 14 brand and lifestyle entertainment platform done, success done and moving forward extremely successfully. New luxury soft brand, Emblems, and the first one being signed in China and Orient Express, you might have seen very, very much in correlation to what I told you about new experiences. We have signed a super partnership in Italy on La Dolce Vita Orient Express train, probably a dozen itineraries with six trains and to be happening and for you to experience as early as July 2023, meaning you have to book by July 2022, because it's going to be fully sold out 12 months in advance. So interesting feature, and this is clearly where our Accor needs to be, which is within a hotel, outside the hotel for the benefit of our guests. [Foreign Language]
Jean-Jacques Morin: Okay. Thank you, Sébastien. Good morning, everybody. I'm very happy to be with you today for this 2021 result presentation. Just as an introduction we did like all this presentation for the sake of clarity comparing numbers versus 2019. And this is to ease the understanding of performance because of base effect variation. As for revenue and EBITDA, we provide variation versus 2020 and 2019 in the comment when it is relevant. Without further ado, let's move to Slide 8, which is the compliment toward Sébastien talked on 2021 business highlight. This is the financial part of it. The full year figure reflects a significant trading improvement compared to 2020 fueled by recovering of demand and solid operational execution. RevPAR has improved sequentially month after month since April to reach minus 46% for the full year. And this was supported by a very strong pricing power we'll get to that. Net unit growth was 3%, which is in line with our guidance. All over this translated into a €2,204 million revenue, which is an increase of 34% versus 2020 on a like-for-like basis. In the meantime and this is the high part of the table. You can see that we sustained a strict operational discipline. And we did that with KPI that are better than guidance. EBITDA was back into a positive territory for the full year at €22 million. And this translate in fact, the rebound of the activity, but also translate rigorous cost discipline to lower the RevPAR sensitivity and the cash burn. And I'll get to that in the next slide.  The cash burn talking of it, we ended up at €20 million, which is way better than the €35 million guidance that we had been given and all of that contain investment, but also a good working capital management. The RESET saving, the effect in the financials is to the tune of €110 million, which again is better than the €70 million plus that we have provided as a guidance, significantly better. And let me give you on that a bit more color. I've tried to be as explicit as possible on the fact of the RESET plan in each of the financial year to be totally deducted. So the €200 million highlight, which is what we committed to will be attained on permanent saving by Q4 of 2022.  What you have as an effect of that plan in financial year 2020 is €20 million of cost saving. What you have as an effect of the RESET plan in 2021 is €110 million. And the swifter execution was because we were in fact very good, all the staff aligned on executing the various severance plans. And also, we did put a strict control with the visibility that we had on business and contractors. And so, all of that helped at generating that €110 million. Next year, if you do the computation, I mean, the €200 million, we translate into €50 million of incremental EBITDA. And next year, for RESET will be focused on IT transformation and automation of a low added-value task. This is what we will continue. Very happy about that.  So moving to the system growth and our network. We mentioned the net system growth at 3%. This equates to 41,000 rooms opening with the following highlights. China remains the main driver. And, in fact, in China, we now have more than 500 hotels. Huazhu opened 10,000 rooms out of 41,000, which is, in fact, very much what they have done for the last three years. It's very consistent. The other thing I'd like to mention is conversion. We ended up the year at 42% of the opening being conversion, and this is a number which is slightly above the past year's trend and, in fact, much better than the industry average. So also quite happy on the way things converted in terms of openings. The churn was monitored.  We continue to be close to the historical level, i.e., 2% – slightly 2% plus. If you move to the left part of the table, the graph gives you the geographic breakdown of the network and the pipeline. There is really not much of a change versus what we have seen in previous periods. On the hindsight, the one thing I'd like to show here despite the obvious growth of the network is the fact that the pipeline has also augured very well. It has been resilient. We've got a larger pipeline in 2021 than we had in 2020. So that's not such an obvious thing taken into account what we went through.  The most important element that I wanted to share with you today on the pipeline is that, 40% of that pipeline is made of luxury and upscale segment. To understand the size of the change in what's happening in Accor, the same percentage four years ago would have been 12 points lower. So that is really a mix change here, which is nothing else that what Sébastien was describing when he was talking about the powerhouse of brands and all the work that is being done in order to provide the best experience possible to our hotel guests.  As a final comment, just to talk about 2022, we anticipate a net system growth at 3.5% and they will be in that 3.5% higher focus on – sorry, a focus on higher fees because of what I just explained on the pipeline and the nature of the openings. Talking of openings, a few pictures, just to make that presentation not only numbers. You see on the left part, the Fairmont Century Plaza, which is a very iconic properties in Los Angeles, and that happened in October, beautiful 400 rooms hotel. And then the other one have been selected because they are kind of inaugurate. The Movenpick Hobart is the first Movenpick in Australia. The 25hours One Central in Dubai is the first 25hours, which is outside of Europe. You may recall 25hours is German company at Art. Jo&Joe Vienna is the first Jo&Joe that we do outside of France. And the Novotel Jumeirah and the ibis Timisoara are, in fact, illustrating the renewal of those brands and the new design. So I go back to what I like better, which is numbers.  If you move to RevPAR, overall, the RevPAR increased sequentially 5 points on average every month since the time that we've been talking to you about April being a turning point. And Q4 has been just the confirmation of it. If you look at Q1 versus Q4, you see a 37% RevPAR improvement. So up to Q2, things were kind of, I would say, muted. And then since that time, every month, things have been getting better. And we were talking about pricing. If you look at the overall Group pricing, December was, in fact, 2% to 3% above December 2019. So we did that with exactly what we had been describing for the last 18 months, i.e., a strict pricing discipline.  And I think this is paying off and you see it very well in the table face to you. If you look at the orange bar of the Group, you can see the portion of the room rate effect in the net RevPAR. And you can see how much it has been shrinking period after period, translating the rigor of pricing strategy with, as an offset, a higher demand from the end customer. So we played it well. If you go by geography, South Europe is a sequential improvement of 7 points from Q3 to Q4, and we ended the year at minus 41%. The phenomenon here remains the one that we had described in Q3, i.e., France province were particularly strong since the lift of the lockdown back in May. And from there on, the Paris and the big cities in France have taken over with recovery of MICE.  In Northern Europe, you've got exactly the same phenomenon for the U.K. The U.K. did behave like France province first and then business came back and notably in London. Germany was very much affected by lower vaccination, and you saw what happened in November in Germany. They have not yet fully recovered from that. And so, Germany was, in fact, less performing than the U.K. or France. If you move to Asia Pacific, here, the quarterly sequential improvement is to the tune of 9 points, and we ended the year at minus 49%. The Pacific, which is, for us, fundamentally, Australia benefited from the restriction removal and the beginning of the summer season, it is summer in Q4 for the Southern Hemisphere.  And so, progressively, you've seen in Pacific, the easing of the restriction. It started with Sydney in October. And then today, most of the interstate borders are open. And in fact, since this month, Australia is open to international borders travelers. So you can go back to Australia for vacation. If you move to Greater China, I think the zero case policy does trigger choppy numbers because of the stop and go, either you open up everything or you close everything. And so, that creates huge fluctuation. The bottom line of it is that, Q4 ended up at minus 35%, which is a flat RevPAR versus Q3.  If you move to Southeast Asia, we – there are some signs of recovery with RevPAR at Q4 at minus 56%. This has been a problem child during the year. But again, here, with vaccination and the vaccination in those places have been somewhat delayed versus Europe or the United States. But you see now Thailand, which has been reopening. You see that Indonesia has also been lifting some of their constraint. And so, this will play off next year to a much larger tune. If you go to IMEAT, which for us is India, Middle East, Africa and Turkey. Q4 was, in fact, 5% above 2019. So the Q4 RevPAR was above 2019 level. And it was a 28% jump versus Q3. So what has explained that.  A large part of it is coming from UAE where, in fact, the Expo 2020, which is open since October is a great success. And so, that has been really fueling business. In Saudi, up to now, the business remained a bit subdued because of restriction on pilgrimage. But again, here, the plan that the state has is to reopen those pilgrimage next year. Americas showed an 18 points improvement Q3 to Q4 and ended the year at minus 46%. There, again, what is quite striking is Brazil with a very sweet vaccination rate increase, and they moved up the ladder very swiftly.  North America ended up the year well because of the U.S. and Canada borders reopening and a good summer season. I'd like also to make a point on Omicron with – what happened with Omicron December was no worse was, in fact, better, sorry, than November. So you didn't see an effect of it in the numbers in December. You see some effect of it in January. So January is going to make – is going to mark a pause, if you want to say it this way, in the monthly RevPAR improvement. But if we look at what we've got in our hands, data that we've got in our hands in terms of the performance in February, but also what is on the books, we should be coming back to a pre-Omicron level of RevPAR by the end of Q1. So that's good. If you move to the Group revenue, you've got the breakdown here by segment. I did commented the overall number. There is one thing on HotelServices, which is that it's very much consistent with the overall RevPAR that we've been dictating. There is not a lot to comment here. The M&F is moving minus 51%. The Service to Owners is moving minus 43%, and that makes an average of minus 46%. So there is not a lot of variances to be detailed. As for Hotel Assets, the performance is, in fact, better. You've got 35% when the Group is at 42%. And this is predominantly driven by Australia, where, in fact, the Mantra business, a large part of it being on the Sunshine Coast has been doing very well as the hemisphere summer was strong in Q1 and again, started to be very strong in December and will be strong in Q1 of the current 2022 period.  If you move to M&F, you've got it here by geography versus financial year 2020. There is a strong rebound and notably over H2. We have been crossing the 50% mark of occupancy over H2. And that triggers, in fact, an increase of the incentive and hence, the fact that the numbers are improving faster. The two beneficiary, the largest beneficiary in terms of higher occupancy rate, were Asia Pacific and IMEAT, so Middle East, Africa, India and Turkey. If you look at the variances versus financial year 2019, it is a little bit worse than the RevPAR, but this is, again, nothing different than what we wanted to every call since two years, i.e., distortion is mainly coming from the incentives that are recovering as the profitability in the hotel is improving, which goes slower than the improvement of RevPAR.  If you move to the Group EBITDA, positive €22 million, a result of better activity and hence a better fixed cost absorption and also a result of an improved EBITDA sensitivity, i.e., the capability that we did do to ourselves to reduce, in fact, the cost base in a permanent way. So that's what explains, in fact, the EBITDA improvement, and I already went through many of the RESET explanations. So I move to the HotelServices part of the EBITDA, a significant improvement because we moved from 25 million to 275 million. As for Service to Owners, the EBITDA remains, in fact, negative. But this is just a mechanical fact that we cannot flex the facts – the cost, sorry, as fast as the sales. And again, here, as business will come back in 2022, 2023, 2024, we'll get back to a positive EBITDA on Service to Owners. As far as reimbursed cost, they are true pass-through as they have always been, but I'd like to say it since I always get the question. Regarding Hotel Assets and other, EBITDA recovered well, again, in line with what you saw on the RevPAR. And notably because of Australia, because of the Mantra business or thanks to Australia, thanks to the Mantra business. And the new businesses were close to breakeven. They are part of that bucket. I'm moving now to net profit and so below EBITDA elements of the P&L. You can see here a positive EBITDA, 85 million, we did last year, minus 2 billion, so significant transition. What makes it, number one, the share of net losses of associated joint venture. This is fundamentally the performance of the 30% that we own of AccorInvest and AccorInvest has significantly improved just as Europe has significantly improved. So that's the translation of the improvement on share of net losses of associates. The non-recurring item, which is the second big ticket. The last year is the impairment that we want in much detail, the 1 billion impairment. This year is coming from what we had covered during H1, which is the sale of Huazhu. So just a quick synopsis here. We sold 5% in 2019. We sold an additional 1.5% in February. And the residual stake of 3.3% is now reported as a financial investment at fair value and so not anymore as an equity stake as we've been losing significant insurance with the sale of the percentage in February. So that led to gain recognition of 649 million on the totally of the stake, and this is what you find in that line. The remainder, by the way, is RESET cost to make the bridge between the 649 million and the 554 million. Just on profit from discontinued operation, that relates to AccorInvest. At the time of disposal, we did take some provisions, some contingency. And as the risks are materializing or not materializing in this case, we're releasing the portion. That's what you see on that line. Moving now to cash. You see here the average cash burn, which is highlighted on the bottom of this table. The recurring free cash flow remains still negative, but the number has been divided by three versus last year. And, in fact, H2 was a positive cash generation, which again translates the significant improvement of occupation rate in H2 versus H1. We were at 34% in H1. We moved to 51%. And again, as we've been telling many of you, when we are above 50% is the time where cash generation story is turning back to positive. A couple of highlights on this one for the variation. The interest, which is the cost of net debt increase is the reflection of the downgrade from BBB- to BB+ back in August 2020. That's essentially it. In terms of the net debt, the variation on the net debt, the increase of the net debt is related to the activity, i.e., we are losing money at an operating level, and we went through RESET restructuring. It's also related to a strategy that we had on balance sheet simplification with the reduction in the U.S. will stake to make the balance sheet more reliable and also the creation of the Ennismore lifestyle platform, which, again, was part of the asset-light road map in the sense that it was moving sbe from being an equity investment to being something which is a fully owned asset-light, sorry, business. And so, again, that was part of that, and it makes the balance sheet much lighter, much nicer and much easier to understand for everybody. Last but not least, there was also the AccorInvest capital increase, which was done back in Q1 of 2021 to the tune of 150 million.  Recurring investment. We have told you somewhere between 150 million to 200 million at the beginning of the year, and we've told you that we would put pressure on that number. And so, we ended up at 122 million. We will use, again, the 150 million to 200 million investment bracket for next year, and we will adapt what we spend as we see the business recover because obviously, we want to stand in line with our business recovers. On working capital, we've been saying many, many years that this line should be at zero in a normalized way, and we are at zero or close to zero on working capital. Last year was a much different story. And you can see that there was a 260 million negative working capital. And so, good work here, again, from all the business people and finance people. Based on the above, and there is a little line on that table, the Board of Directors has decided not to pay a dividend and they will do that proposal at the upcoming shareholder meeting, which is the body that decides on May 20. Again, the year was busy and not only on the P&L, but on the balance sheet, we worked on the structure of the balance sheet, have been pushing out some maturity. And you can see here it very well on the high part of the table, we issued a 700 million sustainability-linked bond back in November. And here, again, we put our actions in line with our strategy because it's a sustainability-linked bond, i.e., the cost of the funding is linked to our performance in terms of carbon reduction. And so we are aligning what we say from a strategic perspective with what we do finance-wise. The issuance was very well received. I mean, it was 3.5x oversubscribed. And with that, we now have an average debt maturity, which is above four years, you can see that there is not a significant payment before 2026. And all of that, by the way, with the cost of debt, which is stable. On the liquidity, we have 3.4 billion of liquidity. We smoothly renegotiated the covenant attached to 1.2 billion RCF line that we've got or RCF revolving credit facility is made up, as you may recall, of two lines, one of 1.2 billion and one of 600 million – 560 million. And so on the 1.2 billion, which is the core line that we've always had, we now have a liquidity covenant until December 2023. And then we come back to the original ratio, which is a net debt-to-EBITDA ratio. Regarding the 560 million RCF, which matures – which is maturing in May and that we raised at the time of the crisis two years ago, there is no reason to keep that one because the crisis is getting behind us. And so, that's what we will do. Last slide for me because I know it's a core point, and we want to address it. This is on cash allocation. I mean, first off, the first thing that we've got to do is accentuate profitability. That means capturing the rebound, capturing the rebound that started in 2021, pursuing in 2022 is of paramount importance because it helps EBITDA, it helps cash recovery and everything comes from that. And so, that's what you've got on the left part, sorry, of the table. If you move to the medium, what we will do is fundamentally come back to what our dividend and capital return policy was that we've been explaining back in 2018 in a post-booster, which is that, there is recurring free cash flow. 50% of that recurring free cash flow goes mechanically into a dividend, a normal dividend every year. And so, that's what we will do. In addition of that, we will assess if there is excess cash flow to – the capability to return it to shareholders. And we will do that intelligently assessing also how we get back to our pre-COVID credit profile because the intent of the company is to get back to the pre-COVID credit profile, i.e., investment guidance. So in the meantime, balance sheet preservation remains a top priority. So we – you've seen that we've been every year doing asset/liability management type of operation and 2021 was not different. So we'll continue to do that with agility. We'll continue our asset-light road map. I was mentioning sbe. I was mentioning Huazhu. We still have to go and do Mantra, and we'll continue and do that. The strategy here has not changed. And we will be opportunistic regarding asset rotation in order to continue to further optimize the business and simplify the balance sheet. With that, I leave the floor back to Sébastien.
Sébastien Bazin: [Foreign Language] Jean-Jacques. So on the closing remarks, and there are three things we have learned from the crisis. And there's probably actually more than three, but I guess here for you, we put three just to touch upon. The first one is an enormous change of behavior from the guest of Accor. I guess, from the guests of any hospitality company. We have to get much better on local stage. People actually will travel probably not that far away, and we've seen it on the workations, on the staycations. So a clear need for all of us to embark with the local population and with the people that we have domestically. Number two, and I'll touch upon it once again when it comes to lifestyle entertainment. Food and beverage is a key ingredient and a key criteria of choice for people to go to an Accor hotel or an Accor network destination. So bars, restaurants, entertainment is what people are looking forward to guess. And we've seen it when the confinement was over, we have seen so many people back and happily back in the bars and restaurants of so many cities in the world, which is what I was hopeful. Wellness, people wants to live longer. They want to live healthier. They're taking care of themselves, and that's something we cannot depart from, and we have to reinvest heavily, and this is the nature of our business. Disruptive concept, don't be shy, continue to innovate, continue to think of what could be pleasing your own guest, basically embark them into their Accor Live Limitless programs and move away from the walls of the different hotel destination. And then new destinations, I've touched upon a little bit when it comes to trains in Italy, but it's true for AlUla, Amaala, Red Sea in Saudi Arabia. You have many countries opening their own territories to be discovered by so many people, and I can guarantee you Accor is probably 99% of the cases very close to the different government, the different minister of tourism to help them basically grow and have a great ever experience, discovering country you don't know. Ennismore, I just want to show you something which is in correlation with what I just said, which is why F&B is important? Why disruptive concept are important? You know we've been launching that lifestyle entertainment platform seven years ago. So it has nothing to do with COVID, except COVID accelerated probably tenfold what people are desired to get. What you have on the left side of that slide, the bottom dark line, it's Accor numbers in terms of RevPAR. And Jean-Jacques told you, we finished quarter after quarter, it's getting better. And certainly, we finished the year with minus 27% for quarter four of last year. We had a difficult January. Of course, we know this. But we still believe both of us and many of us at Accor that despite an awful month of January, we should be better than hopefully 27% in the first quarter of 2022 and better in the second quarter of 2022. That trend will be remaining, and hopefully, we're going to be increasing the slope. But you see on the top of that slide, is the red line. The red line is the exact same RevPAR for the 14 brands of Ennismore, Mama Shelter, Mondrian, Hoxton, SLS, Delano, you name it. And there's a 10-point delta and, if not, greater, between the Ennismore brand and the Accor legacy brand. Why? It's very simple for people to understand. The Ennismore lifestyle segment, 55% to 60% of total revenues has nothing to do with a chair and a bed. It's people coming to dine, to spend a couple of hours to have a coffee to meet somebody. And the beauty of this is 80% of the food and beverage clients happen to be local people. That person who leaves next door, next street coming by foot or by bike. So the resiliency of that business is, of course, so much greater because you have a lesser dependency on the international travelers. And then when you see on the right side of that slide is when you look at the reason why they have better performances, you see very clearly, it is 90% due to F&B because the green light is the F&B rebound in Ennismore basically meaning that, I guess, minus 6%. They always – they're already back at the pre-2019 level, and you see the same Ennismore RevPAR. Total is a bit less because of the room component.  So big bet. It was the right bet, and we should basically reinforce that, I guess, we went in the right direction with the right brand. It's a great team and happily so. Just since I'm talking about the team and just I didn't tell him ahead of me talking today. I need in front of you to thank Jean-Jacques, his team, the financial people to thank actually, the teams of Accor, I guarantee you the result we shown to you this morning are far better than what both of us could have expected in the summer of 2022. We've never shown fear, but we were in a very challenging environment and having succeeded in growing EBITDA positive, succeeded in being net income positive. This is – that was not an easy thing in terms of discipline, in terms of rigor, in terms of freezing any new hire, in terms of making sure you don't really lose cash. That was a huge endeavor in the worst ever moment. And so a lot of tributes to whomever is in the organization at the hub level, at the hotel level, they all accepted the constraint, the challenges, which permits us to show those results to you, which probably means that you're going to have a huge elastic effect, positive elastic effect for the 2022 because we're going to be able to have a better margin, better drop-through, thanks to all the efforts being made over the last couple of years. So Jean-Jacques, [Foreign Language]
Jean-Jacques Morin: [Foreign Language]
Sébastien Bazin: On the digital focus, this is the second takeaway from what happened over the last couple of years. It is vital, indispensable, keep investing on your loyalty program, keep investing on your app, the Accor app over the last two years now. On the direct channel of Accor, it's 18% through the app that was 12% pre the launch of Accor Live Limitless. The app has been rated 4.6 out of 5, which is a very good rating. And of course, 95% of the app users happen to be Accor Live Limitless loyalty cards. It is extremely important that through the app, which is a less expensive distribution channel for Accor because you don't buy any keywords on search engines. So it's going to be progressing far beyond 18%. But again, a lot of thanks to three years of work on launching Accor Live Limitless, on securing different partnership, whether it is Fever, and airlines company and co-branded credit card companies, we've done so much that people don't noticed over the last couple of years, and that gets the travel to be extremely seamless. So those efforts will continue, but quite a success already over the last couple of years. There's just one example, we really talk about it, but I just wanted to point out to you, we have a jewel within Accor, and it happened to be part of the new businesses that people were puzzled about for the last four years, and they shouldn't be puzzled because one of those happen to be called D-EDGE, which is the merger of two companies we bought over the last four or five years called Fastbooking and Availpro, people don't know these 360 people working for that company, D-EDGE, of which a couple of 100 are pure developers, tech engineers and probably clearly one of the best in the hospitality industry. And it is the first operator when it comes to CRS, CRM, connectivity, website designers, 14 different offers, and we happen to be number one in Europe, number three in the world and the competition of ours, you know them well, TravelClick both by Amadeus and Sabre. And since they are so good with great entrepreneur-led executives, we decided – the Board of Directors have decided with the management team in November last year, after a year of investigating that we should trust and give to D-EDGE 5,000 of the hotels of Accor, the 5,300 on top of the 12,000 independent hotels they've been providing services to. So a huge trust. It's not a leap of faith at all, but that company deserves more resources, both human capital, tech capital. But I can tell you, fabulous success for the last five years, and enormous opportunities for the next years ahead through D-EDGE, which is 100% owned by your company. And the third thing that we have learned is we better listen, we better respond to anything which is sustainability. People are conscious of it. People want us to be at the forefront. It, of course, goes a lot with authenticity. So be sincere about it. Don't do anything gimmicky. Social elevation, do whatever you could. And Accor probably is, and I can say it with strength, the best-ever hospitality company when it comes to training, education, providing a chance to the local population for only one reason, we're not better than anybody else, except we happen to be a manager of 70% plus of our hotels, which means we are the caretaker when it comes to hiring 90,000 new people every year, 50,000 because we opened 300 hotels a year and another 30,000 because we have a 10% turnover. I just want to say something before we're going to start on the Q&A. We – people don't realize what it is. When people could be disenchanted or not with a 3% opening net unit growth and likely 3.5% next year. Just put people behind it or put numbers behind it. 3%, 3.5% is irrational because it depends whether you're a franchisor or a manager. In the years of 2021 in the meltdown of our industry, we managed to open 288 hotels. This is not a small number. That means probably 40,000 people we have to hire in the worst ever environment. We've opened above a couple of 100 hotels in 2020. That was a year of nightmare. We're likely going to be opening back probably one hotel a day in 2022. So – and we do that away from the U.S. It's 2% only, if any, 2% is in U.S. Most of those hotels are open into very difficult but great opportunity of growth destination, be it in South America, be it in the Middle East, be it in Asia Pacific. So I would challenge anybody to be able to do what Accor does in terms of providing – taking people away from poverty and giving a chance to so many non-educated people in the world. Local community, I said it at the beginning, move away from taking something from local community, do exactly the opposite, contribute, whether it is biodiversity, whether it's education, whether it is craftsmanship, whether it is supplies, just do something for them. And acting responsible has a lot to do with how many energy do you consume? What is your carbon emission? What is your food waste and make sure that, I guess, you put all the markets together for being the preferred choice for, not only the employees of Accor and then for the clients of today and tomorrow. The conclusions is rather simple. We touched upon it probably 5x over the last 45 minutes, don't miss the rebound. It's – we did not miss it since April of last year, which is why we managed to be 22 million EBITDA positive. Don't miss the next 12 months because this is a year of hospitality. 2022 will be the year of Accor. We feel it, we've seen it, and then we'll get it to be human capital conscious, 90% of what we do is people related. So retain the people you like, you love, you're depending from, attract people you need to boost the growth of this company and make sure that guess they come with flexibility. They have a purpose. They are recognized, you pay them well and make sure they feel stronger during the years remaining with Accor. Three, I'm actually pretty sick of talking about whether it's 3%, 3.5%, 4% in net unit growth. It's – it makes no sense. I'm telling you in front of you. It's the only thing which makes sense. It's not a volume number. It's a fee per room. What do you generate on the fees per room and how do you transform the absolute dollars on the fees per room to bottom line. This is the only thing which matters. And I can tell you over the last five years, we went very quickly for what was probably 10 years ago, less than $1,000 fees per room because of ibis and because we have a lot of franchise here. And today, we're close up to $2,000 fees per room. And every year, we're trying to get double-digit on trying to get a better remuneration from an owners for better brand or for better service. Then the ESG, I touched upon it, and just be good at it. And I have no – I'm not afraid of it. We're probably going to have a day with many of you or full day only on CSR on what we do for underprivileged people with UNESCO, with a lot of actually global sustainability alliance. We do so many things that were too bit too shy, not to talk about it, but that's not the case. That's not the point today. And then don't stop thinking, don't stop acting, just go for innovation, be audacious, be daring, you may be wrong two times out of 10, but you'd be right eight times. And I just want to have a final word because you would be foolish and blind not to talk about what happened last night. We wake up this morning, knowing the news about Russia and Ukraine. I'm putting aside that Ukraine and Russia is less than 1% of the network because that is absolutely relevant. What's relevant is, we have 2,000 people in Russia. We have a couple of hundred people in Ukraine, and we care for them, and we feel for them. And I was talking this morning to many of my GM and the CEOs in those regions. So put the numbers aside for the next 24 months – 24 hours for the next days ahead of me, roadshow is important, of course, and we'll do it as proficient as we could. But the most important thing for me and the teams of Accor is to make sure that people are safe, to make sure you talk to them, to make sure you provide whatever they need and to make sure they know that you're there. [Foreign Language] and we will be. Now we're going to go for Q&A.
Operator: Thank you. [Operator Instructions] The first question comes from Vicki Stern from Barclays. Please go ahead.
Vicki Stern: Just firstly, picking up on your comments, Sébastien, about fee growth being more important as a KPI than net unit growth. And, I mean, with that, could you sort of help us understand how to best think then about the fee growth going forward, I suppose, starting with this year, you're talking about a 3.5% net unit growth. Obviously, on the one side, you've got a lot of those rooms coming from Huazhu. But as you say, you've got sort of 40% or so of the pipeline now in luxury upscale. So perhaps you can help us think in fee growth terms, both 2022 and then in the future as opposed to just net unit growth? And secondly, a question on timing of further asset sales, just sort of what's your latest thinking about the asset sales, just sort of what's your latest thinking about the right timing for Mantra and where you stand now on AccorInvest remaining 30%? And sort of on the other side, how should we be thinking now about M&A as another use of cash? Just what is your latest thinking on bolt-on acquisitions? Thanks.
Sébastien Bazin: Thank you, Vicki. It works well. Actually, here we are in an empty room and you're live on the microphone, and we're going to hear you actually super well. The – Vicki, I knew I was taking a risk when I started talking to people rooms and the guy to my right, I was not sure it was a great idea. But this is what I need to guide you, each of you, because I'm sick and tired of the volume-driven because it makes no sense. So yes, Pierre-Loup, myself, Jean-Jacques will give you greater granularity. Yes, of course, when you sign a Fairmont Hotel, you are very close enough to $4,000 fees per room. It's actually been great for Gleneagles of the world, and it's less than $800 per room when it comes to ibis. So it's a mixed bag of so many things, you touched upon, which is why I've put in macro that are close of 40% of now the pipeline is correlated to premium luxury, which, of course, has way – fees per room, which is way higher than $2,000. So what we could do, but I need to pause on this a minute, seriously, is on different segments to give you an indication on what is the fees per room management versus franchise for you to have a better view and granularity. The only thing, which is why I'm asking you to be indulgent for the next two days. By doing what I've done, I know I'm guiding you and giving you great information. I just want to pause for the next 12 hours with Pierre-Loup and the team only for one thing. By giving you that additional information on a per segment and, of course, a different business model, am I giving away sensible information compared to my peers? And I'm not – I don't care about transparency. I love transparency. But am I giving my peers an information they will be valuing quite a bit in terms of us competing with them in many different territories? So be indulgent with me on the cautiousness on making sure what is there to disclose and what we could be disclosing. On the asset sale program, it's – I just want people to understand, those couple of years of hell, I've probably brought something to this company, which is discipline, which is rigor and which is consciousness. So AccorInvest is probably a good thing. We cannot come out of it because of existing contractual obligations before May of 2023. And you know what, it's probably better that way because it will be virtually impossible to sell the 30% of AccorInvest today in the time of rebound. AccorInvest is going to be rebounding probably even faster than us because of the asset-heavy component. But please give the benefit of 2022 for AccorInvest numbers to be so much more robust. And then it will be probably a great window by summer of 2023 to show great performances and ability to sell. There will be investors to take away the 30% for sure because of the nature of the yield and the network of this company Mantra. I said to everybody in Australia and the Pacific, do not sell asset-heavy leases, ownership when you are in a meltdown. It would make no sense. There's no buyer and you cannot even put a value on it. So I told everybody, Mantra is a great asset. It's actually the Golden Coast for the last couple of months have been very successful summer seasons. But it will be probably a good time to exit and find investors likely to be similar late summer 2023 or summer 2024. There is no reason at all to undermine a great asset model on the Golden Coast in Australia. For the rest, we've been saying that, I guess, we're still going to be financially minded when it comes to Huazhu. We still have a bit less than 3% Huazhu shares have been sold over time as all the big large cap companies in China. It's coming back strongly. So that one is certainly something we're looking after every month passing with a great dialogue with Ji Qi, the CEO and founder of this company. And the same thing which is building where we sit, both of us, which is a fabulous building, but we have no reason to own it. So again, with all the working remotely, we also have to reassess how much square meter do we utilize before we go into a nine-year undertaking to make sure we have the fine – the great users of the space. But that, again, that building this notably will be disposed, it means additional capital for the shareholders and for Accor. M&A, Vicki, you will not be surprised. We are not looking at any M&A opportunities. We haven't been looking for the last two years, three years. It is not in my 10 list of priorities. So priorities is go back to 300 million, 400 million, 500 million, 600 million, 900 million of EBITDA as quickly as possible, get my share price way higher than what it is today, get my employees safe, continue being audacious and this is a lobby life and enough for me actually.
Vicki Stern: Thank you. And sorry, perhaps one more for Jean-Jacques, if I may, on drop-through. Just any help on how the management incentive fees and better in these performance in 2023 might help that that underlying drop-through rate? Obviously, it's going to depend a lot on the RevPAR. But just for the sake of it, working with the consensus RevPAR is still around 16% below 2019 levels. Could you just help us with what sort of drop-through that might give you in 2022?
Jean-Jacques Morin: Yes. I mean, the way maybe to make it simple, Vicki, is that, the incentive was about 35% of 2019 M&F fees. It dropped to 15% in 2020. It went back up to 20% in 2021. And you will see that percentage somewhere between the 20% of the current year and the 35% of 2019. I mean, it follows, in fact, the recovery of business demand. As I was saying in my comments, I mean, incentive is based on the profitability of the hotel. And so, once you are above the 50% mark as an average, that's where you make money in a given property. Now, it's an average, and you know that well. It's not the same in luxury. It's not the same in midscale and eco. You don't have exactly the same percentages, but as an average, give you the direction. And so you will see that number improve, and it will be somewhere between the 20% and the 35% of the 20% of this year – 21% of this year and the 35% of 2019.
Vicki Stern: And just to sort of understand before COVID, you were at sort of 7 million or 8 million of EBITDA for every 1% change in RevPAR. But is that – putting aside the cost savings, is that what we're then converging back to when you're back at the 35% and owned and leased is sort of back or there's reasons to think differently about that?
Jean-Jacques Morin: Going back to that competition, the 7% to 8% was 7 million to 8 million was a competition that was based on HotelServices, right? So today, when I talk about that, I talk about the full thing. So I just want to make sure that we compare apple-to-apple. But the 7 million as a model for sensitivity on the way up because the 7 million is on the way up that the equivalent of the 7 million on the way down as we were disclosing it before 2019 was closer to 11 million or 12 million. And so, those numbers are as valid as they used to be in 2018, 2019, Vicki.
Vicki Stern: Okay. Thank you very much.
Jean-Jacques Morin: Sure. Thank you.
Operator: The next question comes from Jamie Rollo from Morgan Stanley. Please go ahead.
Jamie Rollo: Hi, thanks. Good morning, everyone. Actually, if I could just quickly follow up from Vicki's last question. You've given us for the last couple of years, what you think the sort of sensitivity is for the in-year RevPAR to EBITDA. Perhaps you could provide that for this year? Clearly, it's going to be better than 16 million given the incentive fees ramping up, the cost savings are coming in, but just maybe a sort of a range or estimate would be very helpful. And then, we're on guidance, clearly, it's understandable, there's no clear guidance, but you've given us that slide from Oxford Economics on Slide 5. I appreciate they're not your numbers, but it looks like taking your revenue mix, that would be sort of revenues or spend, down about 20% this year versus 2019. Just sort of wondering how you feel about that number? And if you could – within that, maybe talk about what trading to date is? It looks like probably the Group is down somewhere in the low- to mid-30% in January. And then finally, on the loyalty scheme, you talked a lot about the importance of food and beverage and experiences. Obviously, you acquired Le Lido in Q4. I appreciate it was immaterial. But should we be expecting any more investments from Accor's P&L in terms of Services to Owners? Or is that all going to be funded by the revenues that owners provide? Thank you.
Jean-Jacques Morin: Just – I'll take the one on RevPAR. The competition that you do, Jamie, is proper for the month of January. When you say low-30s, that's about how we ended up the month of January. I think as I've been saying it in my pitch, but I'll say it again, the numbers, what we see today, i.e., if I look at my book on the rooms, if I look at what I have for the month of February as actual, you see that February is better than the month of January. So we see some recovery because you can see it around yourself. I mean, the Omicron situation has also significantly relaxed. Just look at the UK where you live, I mean, you can travel without having to do any test since February, and same applies, by the way, to France. So I think it's going in the right direction. I think by the end of Q1, we will be back to the pre-Omicron level that we had at year-end, kind of the Q4 number. That's what I see on the basis of what I have in hand. On the guidance question, the RevPAR sensitivity will get better. The difficulty that we all have in the industry is that, nobody really knows what the RevPAR is. And, in fact, you want the publication of everybody, the major district, nobody provided guidance on RevPAR from the guys that look like us. And nobody provided either guidance on EBITDA. So what we will do there is, we will wait as we always do every year, and we will provide to you and we expect to be able to provide to you, I don't know for sure, but that will certainly be what I intend to do guidance on EBITDA absolute number when we are providing the number of H1. And we will see how the world develops in between, but that's the intent that we've got.
Sébastien Bazin: And Jamie, we're going to be together in the next couple of days in London. So we'll have time to chitchat. But since you've been asking live in front of everyone, indeed, we are continuing putting some small investment in a lot of actually initiatives when it comes to entertainment, you talked about Le Lido, you don't know probably because we haven't talked much about it, but we've made several investments when it comes to ghost kitchens, all these new activities, be it in Middle East or a company called Kitchen in which we own 13% of, then we have a 15% investment in C3, which is a ghost kitchen operator in America. And then we have an investment in a company called Fever, which is providing a lot of actually experiences, immersive in a stadium, into a church, into a cinema, which is now valued at a $1 billion-plus [indiscernible] company. I can guarantee you, we've made small investments in a number of initiatives. And as we speak this morning, I think many of those are between 5x and 20x worse what we've invested. So I won't bore you with this for one reason, not because I'm not part of it. I'm super proud of it. But I've being burned by many of you, basically not understanding and putting a zero valuation on new businesses because you hated it. So since you hated it, I won't talk about it. But, of course, it is my duty to continue knowing what exists out there to make sure we're going to be a frontrunner and surprising many of you.
Jean-Jacques Morin: And those numbers are small, very small.
Jamie Rollo: Thank you. I actually was also really talking about OpEx and P&L investment, particularly in relation to what you were planning for the – all and the sponsorship there? Is there any additional P&L spend that's material?
Sébastien Bazin: No, it's not material.
Jean-Jacques Morin: No. No.
Jamie Rollo: Thank you very much.
Sébastien Bazin: You are welcome.
Jean-Jacques Morin: Sure.
Operator: The next question comes from Bilal Aziz from UBS. Please go ahead.
Bilal Aziz: Good morning, everyone. Thanks for taking my questions. Two from my side, please. Just firstly, on the 35% incentive fees you referenced, I guess, just on this cost inflation environment, what do you think happens to that absolute number? I guess, one of your peers suggesting it will take a bit of a while for hotels to recover profits now. Just keen to see what happens to that absolute number, please. And then secondly, as the cost savings become more visible, you've already kind of flagged that you should be back to 2023 – sorry, pull RevPAR by 2023. What does that mean for your Group EBITDA? When do you think you will hit the 2019 number? Thank you.
Sébastien Bazin: Since we did not understand the first part of your question, we understood the second part, which is coming back to RevPAR in 2023. The 35% you're referring to, I know you've been asking the absolute numbers in correlation. But what is that that 35% you mentioned? 35% of what, sorry?
Bilal Aziz: As a percentage of your M&A, so the absolute incentive fee number you referenced.
Jean-Jacques Morin: The number is 350 million.
Bilal Aziz: Yes. So do you think you can recover that 350 million back as cost of making deals with all those hotel owners?
Jean-Jacques Morin: Bilal, I don't want to – I'm really, really sorry, but the line is very scrambled. So I can't really get you. Can you say it again, slowly, please, if I may?
Bilal Aziz: I guess, just recovering that €350 million back on 2019 level, given the level of cost inflation your hotel owners are seeing, how does that impact your thinking?
Jean-Jacques Morin: I mean, if I – just if I understand the question, I mean, the way to look at it is to look at it with the recovery, obviously, of the top line. The incentive will follow the recovery of the top line. And so, everything being equal with what we are describing, we're not going to be at the 35% as a percentage of M&A fees in 2022. It's going to take more time than that. But you can assume that between 2023 and 2024, we'll surely be back to that level of 35% because there is no reason for why the profitability in the hotels would be lower and less. And hence, why our fees would be lower and less. The limit and why I say 2023, 2024, and I am hedging a little bit my answer is you may say 2023, except that you know as I know that it is not an average computation that you need to do and that it depends in which – it depends – it's a competition hotel by hotel. So if it happens to be that the average RevPAR is where it is, but the RevPAR of the properties in which I'm doing the computation of the incentive is one which is depressed, I won't get it. So it's not a linear computation. It's a computation which is best step depending on what the RevPAR of the given location of the property is doing. So it will come back somewhere between 2023 to 2024 at a level which is the 35%.
Sébastien Bazin: Yes. And on the RevPAR and coming back to 2019, it's – we keep trying to get that answer even ourselves. This is only one thing we can tell you, which people have been also questioning over the last 12 months, I think it's no longer the case. You do not need to be back at the 2019 RevPAR level to be back at 2019 770 million EBITDA, if you put aside Movenpick which was sold. Why? Because Jean-Jacques has been telling you and advocating that there is a benefit of 200 million recurrent savings into this system which did not exist in 2019. So if we were to be at the RevPAR, which is lower than 2019, whether that is 5%, 6%, 8%, that permits us to be back at 770 million because of the couple of 100 million. And of course, if you go back to the level of RevPAR, but again, it's also a question of mix, how much is pricing, how much is occupancy because it has an effect on the bottom line. But if you were to get back with the same mix of 2019 and the same RevPAR level, then you're going to be much higher than 770 million because you're going to add fully the couple 100 – couple of 200 million or partially the couple 100 depending on what we have done in between. And then, of course, we have the benefit of a greater network. So that's where we are. The difficulty for us is not when we're going to be reaching 770 million, 800 million, 900 million, 1 billion EBITDA. The difficulty for both of us and all the teams of Accor is the next 10 months ahead. You heard me, we started January with Omicron, and we had no idea, we'd be impacted that heavily for the month of January. We felt pretty good over the last 10 days because room on the books are very solid in the months ahead. And I woke up this morning with the war in our doorsteps between Russia and Ukraine. There's a lot of things we don't control. So, just take away from each of you. We've done responsibly the right thing for this company with the right brand, with the right team. We're going to get there, but it's – but I don't know about which month or which date.
Jean-Jacques Morin: Yes. Bilal, the one complement to make sure that we are crisp on the answer on the EBITDA projection. The real way to look at the 200 million is we generated 770 million on a pro forma basis in 2019. If RESET had been done at the end of 2019, you would add to the 770 million of EBITDA, 200 million of EBITDA. So your EBITDA would suddenly become 970 million, right? After that, you take that basis and you play all the other parameters, foreign exchange, inflation, there is all kind of things that then you need to play on that. But that's really the way to understand the 200 million savings. Is that fair?
Sébastien Bazin: That’s fine. But you know what, I'm going to do the Pierre-Loup two seconds because you guys are listening to me, so I'm as well take advantage of you. And no blame or shame. But here, we were last year at the exact same moment, and all of you listening to me, you had 350 million estimate for 2021. So please don't go for the moon because each of you know 12 months after the fact that you estimate from 350 million last year same time, you ended up at 14 million. So word of cautious for also each of you.
Bilal Aziz: Very clear. Thank you guys.
Operator: The next question comes from Richard Clarke from Bernstein. Please go ahead.
Richard Clarke: Hi, good morning. Thanks for taking my questions. I had three if I may. First one, just on CapEx, Jean-Jacques, you talked about you want to take that back up to about 200 million per year. What is the incremental CapEx to be spent on Accor? What are you looking to do that on? And maybe related to that, you've taken out the 700 million sustainability bond, what does that need to be spent on? I'm just thinking on an asset-light business, what can you spend that on that's sustainable? So maybe help us there. Second question, I think you guided that you're expecting Service to Owners to be profitable in 2023, 2024, what level of profitability can Service to Owners actually contribute? Is there any limit, any restrictions at all? And maybe how can that pass-through 2022? And then last one, a bit more strategic. I guess, if I take the Slide 2 and the Oxford economic numbers, your international business travel percentage won't be 20%, it will be somewhere in the mid-teens. And you've talked about growth in a lot of luxury. Does this big change in the demand profile needs to be reflected at Accor in some way? Do you need to change the brand mix, the footprint to address that change in demand?
Jean-Jacques Morin: I'll take the question on the CapEx. What we will do with the CapEx is fundamentally push development by spending as it is relevant money on key monies. That's one thing that we surely could push if opportunities were making sense. Today, we are very conscious of what we do. Most of the deals, 90% of the deals are so-called dry deals, i.e., deals with no key money. But this is one element depending on the – what comes on the market and what is feasible, I was mentioning that property in Los Angeles, those kind of properties, when you enter into those, the key monies are much different than the key money that they would do for 50 ibis. So just as an example. Then the other thing that we would like to do is continue to work on the demand from our customers in the hotel and anything we can develop, an application which are dedicated to China, on things that provide you more ability to get an application, which is more effective in terms of the customer interface and the number of click and all those things, which is what the digital factory is all about. And so, there is more ideas on how we can improve our relationship and the platform because our business is getting more and more of a platform business. And up to now, we've been extremely rational and conscious at and conscious at where the money is to be spent in order to retain the project, which have the highest return. But there are things that we certainly can continue to optimize. In order together, we also need to have the top line that's substantiated. Sébastien was talking about D-EDGE. We went through that discussion. There is also here a good potential of developing solution that would be putting that company in a state in which it's even more competitive, but that would require some monies. So that's what I mean by adapting it. I think when we went and did the Capital Markets Day, you may recall, we talked about €250 million. We've been scaling it down because there is less asset-heavy properties in Accor. We – notably Orbis is not there anymore. I think the €150 million to €200 million, if you are to look at it versus what the world does, our competition does is a very competitive number. That's I think on the CapEx. On the STO, I've said that many, many times, but I'll say it again, we don't have, in most cases, constraint on getting a profit on that line, right? And there are two elements which are a little bit different, but I'll clarify it again today. There is the Fairmont contracts, which are U.S. contracts and are, in fact, what most of the major competitors are also having enhanced the fact that they talk about getting to an equilibrium around zero on that SMDL, sales, marketing, distribution line. But we have that only for that portion of the business, a few cases throughout the world. And we have to get in France to sales and marketing equilibrium with the effort. That's it. And so, I can do whatever I want on that line. Now, I'm not going to do something which is crazy. I'm going to do things which are making sense. But back to your other question on investment and what we can do, if we've got the CapEx that we were discussing is exactly what we also want to do for our asset owner, want to do for our customer in order to get to them a better experience. And hence, in the end, the only thing that matters a better retention. So that's what I would say on STO.
Sébastien Bazin: On the sustainability-linked bond, it's dollar for dollar. The €700 million which was raised and beautifully raised thanks to Pierre and the team that was only one-week window, and we actually, of course, did not miss the wind, not of course, thank God, we did not miss the window and it was done, but 100% of the proceeds were used to pay down debt, which was due in the three to 12 months ahead. So it was a good way of getting a maturity longer with a much better instrument with an equivalent cost plus with KPIs that people can measure when it comes to sustainability, planet-friendly, carbon emission. On the 20% international business traveler dependency, your question is right on. It's – you know what, I hope it's going to come back to that 20% because you know as well as I do, I guess, those customers end up paying a higher price per room because of their buying power and the people who send them abroad. But I've been saying you heard me 14 months ago, I did say publicly that I was afraid that we're going to be losing probably 20% to 25% of that customer base forever and people were dubious about it. And I keep repeating today that we stand to lose 25% of that international business travel forever, for the reasons you guys know, which is why we do exactly at this minute. It works. Unfortunately it does work to be using Zooms, – sorry, tools like Webex, Teams and others. And that's okay, this is the world of tomorrow. And actually love it as, especially at the world of yesterday. Why? It's because for the same code, which is the same tool, then you have an ability for 5 billion or 6 billions of people who probably never traveled before to be able to travel four-hours away on the car, on the train or on a narrowbody airliner and to go and spend those Thursdays, Wednesday, Monday, in places they're choosing for and spend the weekend and be in an Accor hotel, so the domestic business leisure, we would call, BLeisure will outpace by far in terms of volume, maybe not in pricing, but in terms of RevPAR, what you stand to miss on international business travelers. So don't change your destinations, make sure that, I guess, you probably cope better with that person leaving next door from a large international venue because there is – I mean, it is in the capital cities, CBDs of many destinations. That means you have millions of people living in the city where you never offered them anything to enter your hotel. This is the time to do it. And we have all the good reasons and services and talents and experiences to do so. So it's not a negative thing, just adapt. And this is exactly what we've done for the last 24 months.
Richard Clarke: Thanks a lot. Just a follow-up on the sustainability bond then, so you don't need to allocate or identify €700 million of green investments that you've made, you planned to use that to pay down debt or what is sustainable about the bond?
Jean-Jacques Morin: It take the sustainability. I mean, the answer is yes. We don't need to allocate anything. It's not a green bond per se. It's a sustainability-linked bond. It's around the subset, which is ESG. And how it links to ESG and to ESG strategy is that, the interest cost that we pay on that bond is a given amount, the one that we've been disclosing the two, three quarters. But then if we were not as a company to meet what we said in terms of carbon reduction, the so-called Scope 1 and 2 and Scope 3 reduction in a measurement that will be done in 2025, i.e., within the life of the bond, then there is an uptick in the cost of interest. So the way the investor – the people that lend you the money are looking at it is, I give you the money, but you told me that you would be working for the good of the planet. And I want to measure you on the fact that you are working on the good of the planet. And if you don't, you will pay me a higher interest rate.
Richard Clarke: Okay, great. Thanks very much.
Jean-Jacques Morin: Thanks Richard.
Operator: The next question comes from James Ainley from Citi. Please go ahead.
James Ainley: Good morning everybody. I had a couple of questions, please, on sort of health of the ownership base or us owners. Can you talk to us about how they've been handling the cost inflation pressures? Do you see any kind of particular stress within your ownership base? And then second, as we think about the development pipeline, how is their ability to get financing looking – again, is that progressively improving? And what percentage of your pipeline is now under construction? Thank you.
Sébastien Bazin: We're going to look at the percentage….
Jean-Jacques Morin: 40% is conversion. I went through that. So it means that 60% of it is new build.
James Ainley: How much is under construction?
Jean-Jacques Morin: We don't have that statistics. On the specific part, which is in construction, I don't have that statistic. But 60% is new build, if you want, right? And 40% is conversion. Conversion means that you've got a hotel under a given brand and you're convinced, in fact, the owner to move under your brand or you've got a building which is basically a shop and you transform the shop into a hotel. That's what it means.
Sébastien Bazin: And since we're likely going to be opening greater than 300 hotels this year and since 60% is non-conversion, that means, James, that probably for the last two years, you had 300 hotels of Accor under construction. Otherwise, it could not be opening in 2022. On the inflation, it's a very good question. It's – we – there's two sides of – and you touched on both actually. One is supply and the cost of goods being way higher and probably longer to get. We haven't seen, which is remarkable. We haven't seen so far a huge delay. We haven't seen any stoppage or anybody stopping from constructing because of those cost inflation. So people have the ability to swallow an increase of 5%, 10% on those costs. And I was discussing with somebody yesterday in my Head of Design, Technical Services, fabulous guy Kingsley Amose, and he was – he is based in Australia, Singapore, and he was with me yesterday and in Dubai, the day before. And he was telling me that people are talking quite a bit about the cost of – increased cost of supply coming from China for that matter, the length of it and the cost of it. But it's mostly on different what we call OS&E, which is a different small equipment within a hotel, 80% of all the cost for hotel, wherever you see it happen to be domestic supply non-China dependent. So that difficulty on whether it is price raising or ability to get the supply on time. It's 20% of a project. So you do 20% inflation on 20%, it's a 4% total impairment on a total project. And that was an eye opener for me. And hopefully it's an eye opener for you in your question. So it doesn't demolish at all the underwriting of an investment, which is why we haven't noticed it. When it comes to salary increases. We have one thing blessed for the last 12 months, which we of course noticed for the last 12 months is ability to price through increase of salary cost. You've seen in many different jurisdiction in America, for that matter, they're being able to increase pricing in Miami and many other cities by 22% to 35% in average room rates. That's far more that what you have to pay in terms of increased salaries. So therefore the clients permits you to pay more the employees and to retain them. How long that's going to last. I cannot tell you, but as of this minute, and the next months is ahead, that is the response.
James Ainley: Okay. Thank you. Can I just follow up on the development point. The ability of owners to get financing for new projects how are you finding that around your business around the world? I guess.
Sébastien Bazin: Again, I was expecting probably tougher problems on what we see. It's – the only place where you worry is absolutely correct, but it's a bit also not the financing dependent, but financing's part of it is Southeast Asia, which is why 3% for 2021 and 3.5% for 2022. You guys know half of the last four, five years pipeline and openings of Accor has been in Asia-Pacific, half 50%, which is huge. And it helped us quite a bit actually fueling the network. But this is where we have been impairing the most in really stop of lot of openings in Southeast Asia, for all the reason, you know, one is unavailability of financing, but the unavailability of financing is because lockdown, because of confinement, because of inability to get traffic. So if you have don't have any demand, no traffic, what would you finance on your hotel? So that's probably the only reason where your testimony is correct, but it's financing, it's maybe 20% of the quote. The rest is not financing related. In the rest of the region, be it in South America, in Europe, in the Middle East. Your concern is not yet proven.
Jean-Jacques Morin: The other element, I’d compliment because we had that question in many calls with you was about the health of the asset owners and how things were going. And we've been telling you that there is no nothing of significance that we need to explain neither to report. If you look at the statistics on bankruptcy, whether they are at European level or whether they are at Europe level, that is still totally confirmed. I mean, there is 30% less bankruptcy today in France, 30% less bankruptcy in Europe, 25% to be precise, from Q4, in fact of 2021 compared to Q4 2019. So in reality, the means of the people are not that bad. And hence, the fact of the health situation, not that bad and answer the fact or the health situation, not that bad and answer the fact that, it links to the financing, it links to the health, it links to the capability to develop, which I think is where you're getting to.
Sébastien Bazin: We kind of actually have almost a hard stop at 10:10. So if there is any last question, we'll take the last question and I apologize for the rest of you. But we need to get going on other investor one-on-one meetings, if you allow me to. So could we have the last question?
Jean-Jacques Morin: A good question. If we may.
Operator: The last question comes from Leo Carrington from Credit Suisse. Please go ahead.
Leo Carrington: Good morning. Thank you for taking this. I'll just make it one question. I'll leave it up to you, the gauge it's good or not. In terms of your pipeline size, it's obviously picked up slightly in Q4, but as you say steady around these levels last couple of years. Can you just explain a little bit about what your development market is like, perhaps in both upscale and luxury, which I guess you alluded to and mainstream as well, if you got a pre-signing metrics and at what point does the signings need to pick up materially to be for sure that unit growth in 2023 and 2024?
Sébastien Bazin: It's a good question, but it's so granular in terms of responses. So we need to put a metrics together and to sit down. What I'm going to say. It is obvious, but probably helps you quite a bit because it's a way we think we are thinking within the group. And yes, as head of developer, she's been doing a fabulous job over the last 24 months. And she was new to that endeavor. The 40% we refer to in terms of premium luxury today as part of the supply, we do absolutely everything for that for 40% to be closer to 50% in the next two years ahead. And which is why we've been assembling the portfolio brands we have today. And I can tell you that the demand for the Fairmont, for Movenpick, for Raffles, for now Orient Express, which is going very, it quickly is probably as robust, if not better, that my best ever hope three years ago. So it's a lot of traction for those brands. And of course, a lot of tractions for the non-legacy brands being any small brands, which we probably going to touch upon it. At some point, there is 94 hotel in Ennismore, and there will be probably over a couple hundred hotel in Ennismore, only three years from now. So it's going super, super fast with. And this is one of those where you reverse the lever owners want those brand. So it's not even an IFP. They want those brand in their territory. So it makes our job much easier in terms of the developers. So you need to balance the mix to greater than probably close enough to 50%, because this is where you transform better, and you have the same level of services for greater margin. That being said, I am also clearly pushing and we have a great demonstration in Northern Europe. The legacy brands of Accor are still extremely vibrant, extremely desired, whether it's ibis, Novotel, Mercure and we're changing a lot of developers in terms of human capital over the last 18 months purposely and fresh blood, fresh eyes. And another guy, Camil he's in actually Northern Europe, his venue with a team has been accelerating the inventory pipeline of Accor in Northern Europe by a number we've never seen before. I think an consider that to you for the last eight months or nine months, whatever the numbers were from STR, 40% of all the rooms signed in Northern Europe have been under Accor brands, 40%, which is far more than Accor market share in Northern Europe. So I'm telling you the Americas maybe closing the door on me in America, but yes, we're closing the door on many of them when it comes to where we are the leader. And if so – and we are doing it with 75% of that is legacy brand. So I'm making a big push on changing the mix because of a need for higher margin, but I'm also not under mining at all the sexiness of the legacy brands in many destinations, certainly in underprivileged countries, but let's face it, even in Northern Europe where you have a lot of mature hospitality markets is still traction. So it's all across the different segmentations of Accor. What makes things different today than three years ago? We did change a lot of executives in charge to have probably a greater level of energy or just a different perspective. That's what it is.
Leo Carrington: Okay. Thank you.
Sébastien Bazin: Mercy. Thank you. Everyone, sorry to stop this on you at 10:05, it was very privilege to have you. Thank god for you connected, because being alone in this room was rather pathetic. But we had a good – hopefully a good 90 minutes together. Mercy and I will see many of you probably in the next 10 days ahead. Jean-Jacques, bye-bye.
Jean-Jacques Morin: Thank you. Bye-Bye.